Operator: Good afternoon, ladies and gentlemen, and welcome to the First Quarter 2024 Results Conference Call of the Raiffeisen Bank International. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl: Thank you very much. Good afternoon, ladies and gentlemen, and welcome to RBI’s Q1 update call. Allow me to begin with a brief overview of our financial results. Consolidated profit in the quarter was EUR664 million and more importantly EUR333 million excluding the contributions from Russia and Belarus. Topline trends are relatively stable despite modest growth and of course supported by very low risk costs and lower resolution fund contributions. Return on equity comes in at 15% for the Group and just around 10% when excluding Russia and Belarus. Finally, the CET1 ratio is stable in the quarter, both for the consolidated group and for the perimeter, excluding Russia and Belarus. Moving to my next slide. Loan growth is around 1%, primarily from short-dated business in Vienna. In our core customer business we saw decent new lending in retail unsecured, while mortgages and corporate lending trends were otherwise pretty tame. NII was down a bit in the quarter, mainly in Central Europe where Hungary and Czech Republic feel the impact from rate cuts and to a lesser extent weaker FX rates versus Europe. These are down on the quarter as we usually see in the first quarter of the year, but otherwise stable year-on-year. OpEx are better with the seasonality here of course being positive, but up nearly 10% versus Q1 last year, which also leads to an increase year-on-year of the cost income ratio to around 49%. We will look into all of these in the usual slides, but for now and on my next slide, let us focus on some of the key strategic initiatives which we are working on. As you know, since February 2022, we have been de-risking our Russian business and limiting the spillover risks on the rest of the Group. This is most visible in the near complete runoff of our cross-border exposure and by the reduction of our loan book in Russia. Some of our initiatives are less visible, but no less important. For example, we have significant restrictions on payments and trade finance in place, directly in Russia, but equally in many of the neighboring countries, which have seen an increase in trade flows. Many of these initiatives were implemented proactively, often ahead of sanctions or restrictions being introduced. I am proud of the work done by our compliance, risk product and customer facing teams. You are by now very familiar with our dual-steering approach to capital, and we have taken equally prudent measures to ensure liquidity under virtually any scenario. At the same time, we have been careful not to reduce the Russian business too quickly, mindful to preserve the value of the franchise in order to facilitate the option to proceed with a potential sale. Our Russian subsidiary has invested significantly in its IT staff and systems, which would allow full decoupling upon the closing of a sale. The Russian business would then be fully independent from RBI Group and from Western IT providers, which brings me to the first strategic project, which I would like to update you today. As you know, we are working on a sale of Raiffeisenbank Russia and have over the past two years received interest from many parties, both Russian and foreign. Needless to say that, the Russian parties to whom we speak are all unsanctioned, of course. As the process continues, we will also seek to ascertain, if a potential buyer would indeed to be improved by the authorities in Russia before proceeding any further. The deconsolidation of our Russian subsidiary remains our first priority, and we believe that the sale is the quickest, cleanest way to do so. The second initiative, which I’m sure is of interest to you is the proposed acquisition of the STRABAG shares by Raiffeisenbank Russia, which would then be distributed to RBI in Vienna as a dividend in kind. Into our last update called the investment vehicle, which holds the STRABAG shares has been sold to an unsanctioned Russian investor. Prior to this transaction, the STRABAG shares were frozen under European sanction law. It now needs to determine if this sale is sufficient to unfreeze the STRABAG shares. Until this assessment is made, the STRABAG shares cannot be transferred to Raiffeisenbank Russia or to any other interested party. Allow me to be very clear, we will not proceed with the acquisition of the STRABAG shares by Raiffeisenbank Russia, if we believe there is a risk of sanctions or other repercussions from any of the relevant authorities, including the U.S. Treasury and OFAC. If we cannot get comfortable with the sanction and compliance risk, we must walk away from this deal. In this scenario, our plans to sell the Russian subsidiary are unaffected. We expect to know more in the coming weeks. I cannot provide more details on the timeline, however. Unrelated to the sale process or to the STRABAG transactions, we have now received a formal request from the ECB for an acceleration of the business reduction in Russia. We are carefully analyzing the requirements and assessing the actions to be taken. In practical terms, I fear that these requirements may impact our plans to deconsolidate. Let us now move to my next slide focusing on core revenues. NII was down on the quarter, largely from Central Europe, where as mentioned rate cuts and weaker FX explained the drop. In Austria, NII was generally flat with some delayed liability repricing at the Bausparkasse and lower corporate lending volumes, offset by positive trends on the liability side. Fee income is seasonally weaker and also reflects the overall slowdown in new business dynamics. On Slide 8, we see around 1% loan growth in the quarter. On the non-retail side, we see a rebound in repo in the head office, and more interestingly, a pickup in revolving facilities and general purpose loans. This is offset by lower project finance lending, reflecting both pricing and risk appetite. In retail, consumer loans pick up very nicely, while mortgage lending was slower than expected. By segment and country, we see a pickup in Slovakia and the Czech Republic, also the latter is largely offset in euro terms by a weaker Czech koruna rate. Southeastern Europe was sluggish, both in euro and in local currency terms. Group capital and markets benefited from the repo volumes mentioned above and of course from the pickup in revolving and general purpose facilities. On the right hand side of the Slide 8, we see deposits up 2% in the core of the Group, driven by Czech Republic, up nearly 6% in euro terms and 8.7% in Czech koruna, and Hungary, up nearly 5% in euro terms and 8.3% in Hungarian forints. Let’s briefly flip to Slide 9, where we see that liquidity is again stable at excellent levels. The liquidity coverage ratio for the Group is stable around 200% and NSFR stable around 140%. At our largest subsidiaries, the LCR is everywhere above 200% with a high share of insured retail deposits. In head office, the LCR is again around 150%, and more importantly, our balance sheet in Vienna is structured in a way that we have sufficient liquidity to cover all maturing funding sources, including deposits of course, over a year. I mentioned in my introduction the very prudent measures we have introduced since February 2022, and this liquidity in excess of one year of outflows is one of the key measures. On Slide 10, you see the stable CET1 ratio in the quarter. Loan growth impact on CET1 is relatively modest, and most of the credit impact comes from inorganic effects and liquidity placements in Russia. Hannes, will also cover this on his RWA development slides. As we have done in the past couple of years, we accrue a dividend based on the regulatory approach, which is to use the high of last year payout ratio over the average of the past three years. So, in Q1, we accrued 17.3% of Group consolidated profit, in-line with last year’s payout ratio. Please remember, that this is not an indication of our dividend policy. As we have done in the past few years, we will propose a dividend with the full-year preliminary results based on the capital situation of the Group excluding Russia and Belarus. On Slide 11, the CET1 outlook for the Group stable to slightly improved over the next three quarters. Please note that we do not assume any impact here from closing of STRABAG, which in any case on a consolidated group level is only marginally negative, roughly minus 10 basis points. We should also mention here that this does not yet reflect any implementation of the ECB request to accelerate the reduction of our business in Russia. Because of the high-risk weighting on excess liquidity placed at the Central Bank of Russia, our 17.3% Group CET1 ratio may even be negatively impacted. This would not impact our CET1 ratio excluding Russia, however, which brings me to our next slide. Slide 12, where we show our CET1 ratio in a worst case scenario in Russia, meaning we have to deconsolidate with a full loss of the equity there. As of Q1, our CET1 ratio ex-Russia is stable at 14.6% and is expected to remain stable at this level in 2024. Again, we have not assumed any contribution from STRABAG. Slide 13, is for your information, no real change here. And with that, let’s turn to Slide 14, and look at our MREL ratio and issuance plan. On MREL, the Austrian Resolution Group shows a comfortable 8 percentage points surplus. We have received a draft decision from SRB, which would have two main effects. First of all, there would be a drop in eligible liabilities, which would reduce our ratio by 2.7 percentage points. This is mainly coming from the exclusion of MREL instruments helped by our shareholders, the Raiffeisen Landesbanken. Secondly, from 2026, we will be subject to a subordinated requirement of around 26%. Considering the very high own funds ratio at the Austrian Resolution Group, not to mention the recent non-preferred issuance, this should not trigger any significant issuance of eligible subordinated instruments. Already from Austria, you may have seen our Slovak subsidiary in the market recently. We successfully placed six non-call five senior preferred instruments. You should also expect our Czech and Hungarian banks to issue this year. Issuance plans from head office will focus on one or two senior preferred benchmarks. It was our intention to issue an AT1 instrument and you are aware of the unfortunate circumstances, which led us to pull the deal. What I can confirm here today is that we remain committed to replacing the EUR650 million notional bond which has now skipped a few call dates and we will return to the market with this project. Please understand that I cannot be more specific on timing and of course, this will also depend on pricing. Now, let’s move to Slide 15, which is the macro outlook. I think to avoid reading exercise we see improvements and I think the main points which leads us to this outlook for ‘24 and ‘25 are clearly described in the right-hand part of this slide. And so, I propose to move to another important Slide 16, where we show our view on inflation and rate forecasts. And again here, I think all fairly described. So, that I suggest that we immediately move to Slide 17, which is our 2024 guidance. First of all, we have suspended our outlook for the Group, including Russia and Belarus. This is because of the accelerated business reduction requirements that we have received from ECB. We feel not comfortable to state numbers now. As I mentioned earlier, we are carefully analyzing what this means for the Russian business going forward. For the core of the Group, the outlook is largely unchanged, also loan growth is revised down a bit. We have seen some green shoots here and there, but the underlying demand overall remains weak. And of course, our underwriting remains cautious in the current environment. There is also a that lower largely from a delayed, if at all consolidation of the STRABAG shares. In the new 10% guidance, we expect that contribution from STRABAG is minimal, meaning that if the deal falls through, it will not change the guidance very much. And with this, I would like now to hand over to Hannes, who will hand you the risk slides. Hannes?
Hannes Mosenbacher: Thank you, Johann. Good afternoon, ladies and gentlemen, and thank you for joining us this afternoon. Let me start with a brief summary of the asset quality trends. Well, excluding Russia and Belarus, we saw very few instruments in our corporate portfolio and relatively limited delinquencies in retail. While we have seen very few Stage 3 risk costs in the past two years, and again in the first four months of 2024, we remain cautious and mindful. In the corporate book, many customers have taken tangible measures to shore up their balance sheets in the past four years, and for them the current rate environment and soft demand is manageable. In our conversations though with customers, and in the monitoring of our portfolio, we see clear signs that for some, there are still some very difficult days ahead. This is why we have chosen to keep our risk cost guidance unchanged at 50 basis points for 2024. I know you will ask me in a few minutes, how we can expect 50 basis points despite only five bps in the first quarter. And so, let me simply say that risk costs are not linear throughout the year. Last year, three very good quarters were partially offset by a very chunky fourth quarter. And in this environment, we need to reconsider this as a possibility as well. Our stock of overlays, now summing up to EUR777 million has increased by another EUR22 million largely from the creation of further commercial real estate overlays. You will remember that we applied some of these to a large default at the end of last year, and with these top-ups, we are now being back at the level of EUR180 million of overlays for commercial real estate. In addition to the Stage 3 and overlay trends that I just mentioned, we saw releases in the model driven provisions, with rate cuts in the region being the main severity factor. Let me move on to Page 21, when talking about the RWA developments, and Johann was referring to this page when talking about liquidity. In Russia, we will now witness a strong reduction of the loan portfolio and at the same time an increased equity position. Having said all this, of course, this looks to more liquidity to be placed and currently this liquidity place is based with the Central Bank of Russia. Let me move on to Page 22. Besides risk costs, there is also the subject of provisioning in Poland for our legacy portfolio on the Swiss franc mortgages. In the first quarter, we have taken a further EUR109 million of provision driven by a still elevated level of new litigation cases. Our coverage on the outstanding portfolio stands at 94%. If you include the capital held against this portfolio, the coverage increases even to 99%. Last week, the Polish Supreme Court debated six questions in an attempt to harmonize the decision across Polish courts. Unfortunately, many of the European Court of Justice findings were not followed and it appears that the Polish Supreme Court has confirmed annulment as the base case going forward. The silver lining in this otherwise disappointing outcome is the borrowers should not be able to claim compensation, which has already been the case for banks. What this means for provisioning is still unclear and we are waiting for the written opinions. In almost all cases, our provisioning model assumed annulment anyway and most of the loan in our portfolio have been captured, meaning provisioned by the model. Accordingly, we leave our guidance for litigation provisions in Poland unchanged at around EUR340 million for this year. With some downside risk, as we get better understanding of the reasons of being court decisions in Poland. To you all, thank you very much for your interest. And now, we are more than eager to take your questions.
Operator: Thank you, gentlemen. Ladies and gentlemen, we may now start the Q&A session. [Operator Instructions] And, our first question is going to come from [Amit Savim] (ph). Please go ahead.
Unidentified Analyst : Good afternoon. Thanks very much for your time. I have one question on your opening remarks, please, particularly on Russia. So, on the ECB’s request to accelerate the reduction of business in Russia, I understand you’re now assessing the requirements of this request, but could you please tell us where you are now in this process and what we can expect from here in terms of the timeline and actions? And secondly, looking at your guidance for Group excluding Russia, Belarus, you’ve downgraded the ROE guidance to 10% from 11%. Could I just confirm with you that the reason here is STRABAG? Or is there any other change that we couldn’t see in the presentation? And finally, maybe if I may, you’ve also cut your loan growth guidance and that’s quite early actually in the year. So, can I please ask you what’s changed in your thinking following what we’ve seen in the first quarter? Thanks very much.
Johann Strobl: Thank you for your questions. To your first question ECB request. Yes, there is some elements like you reducing significantly our loan book mainly by letting loans running-off and not entering into new loans with some exceptions, which I would simplify as a white list approach, and then, some other elements as well. There is expectation that implementation starts already in the third quarter, partly earlier even. So, we are now in preparation of a plan and analyzing what is possible, what we have to do and then also assessing what the impact will be. I mean, yes, half of the year is soon be gone, but in the second half, of course, we will see then overall some impact. Yes, so, I would say the next update call, what we will have when we present the second quarter results. We should already have a fairly good picture what the impact will be and we will then discuss it. To your question, indeed, STRABAG is a main driver of this reduction. In the earlier outlook, we had hoped for a quicker closing having the major part of the year to be expected positive impact in the numbers and now with this delay in the review of the transaction and closing is significantly postponed, if at all, and therefore this reduction, yes. And of course, the equity-base would have also had an impact somehow, which is less important, than the -- and then there are smaller issues. But, you’re right, it’s mainly that’s part. And to you third, loan growth guidance downgrade? Indeed, as we said, we see in some areas a big up, but in many other important areas still relatively low demand and therefore we not significantly, but slightly adjusted. Thank you.
Unidentified Analyst : Thanks very much.
Operator: And, our next question comes from Gabor Kemeny from Autonomous Research. Please go ahead.
Gabor Kemeny: Hi, Gabor here. My first question would be on the STRABAG deal. Can you please just clarify what has changed here? I mean, what is incrementally new? What makes you and the Austrian authorities less certain about the compliance with the sanction relative to the checks you have done towards the end of last year? And, just given that you have removed it from the, at least from the capital sorry from the ROE guidance, is it fair to say that you assume a less than [50%] (ph) probability of this deal happening? My other question would be on the ECB request. Can you perhaps talk a bit about the interplay between the required reduction and the sale of the business? And, do you have an understanding what would be the ECB sanction for, in case you could not deliver on the requested reduction? Thank you.
Operator: And, you may be muted.
Johann Strobl: Sorry, sorry. Sorry. So Gabor, thank you and thank you, operator for making me aware. Back to your first question, what has changed in STRABAG? So, we have -- when we entered into this transaction and when we explained it to the market, a clear understanding what type of sanctions have to be applied and how to have a structure that if one does a transaction then it’s fully sanction compliant. What we learned over the recent weeks that also going into every very, very detail. So, much broader than what you usually do in sanction compliance review. It obviously takes a little bit longer. And, as I said, it’s very important to understand that the, by all means the shares are unfrozen with this change of control which happened in Russia. So, it takes longer. This is the one element. The other is that, yes, we carefully listen to the inputs, to the messages, what we get from authorities and this needs further review. That is the few things which have changed since then. To your second question, reduction and sale, very difficult as this is very new. I assume, we have two angles, I should start with this. So, of course, as the sale would lead to a deconsolidation of Raiffeisenbank Russia from RBI Group, then Raiffeisenbank Russia is out of reach and this reduction requirements are not any more applicable. This is my view on the impact of a sale. The other element of this is that, of course, would anyone. So, under which conditions someone is going to buy this bank then. And, here I think this created also concerns on my side and therefore I have to make this disclaimer that I haven’t got at this point in time a very negative feedback from Russia, but of course, we are aware that also there this got quite a lot of attention. Now to your other point, what are the sanctions? The sanctions, is all the broad range what you have in from ECB, which can be fines, which can be difficult life, which can be everything. I would say everything. [Ultimately] (ph), what they have is enormously broad and good piping, if they use it fully.
Gabor Kemeny: Yes.
Johann Strobl: So, it’s, what one can say is given the legal framework, how shall I say, the desire to find out is very limited.
Gabor Kemeny: Thank you for being forthcoming about this. Can I just follow-up on the likelihood of the STRABAG deal going ahead? I mean, the fact that you removed it from the guidance would suggest to me that you assign a relatively low probability of the deal happening now?
Johann Strobl: Yes, I don’t want to add to. I think it’s clearly understood that timeline and the end have changed, and so adding probability would not make sense. If we need to drop it, we will let you know.
Gabor Kemeny: Understood. Thank you.
Operator: And, our next question comes from Benoit Petrarque from Kepler. Please go ahead.
Benoit Petrarque: Yes. Good afternoon. Benoit Petrarque from Kepler Cheuvreux. Actually, five questions. Sorry for that. So, the first one is again on STRABAG. So, in theory that will make the Russian subsidiary more valuable let’s say, if the dividend is not paid out of Russia? Do you see it like this? The second one will be on, yes, the ECB request. Yes, could you maybe just come back on how that will basically impact the plan to deconsolidate Russia? Could that accelerate the sale process potentially? And in any case, if we don’t have a sale by Q3 by the implementation, well, I guess the message will be that this bank will not be worth a lot. So, I guess it could be worth something until Q3 and afterwards that will be a bit more tricky. Number 3, was on the fee income. Obviously, quite low and I was wondering if that’s a kind of new run rate going forward. So, that’s number 3. Number 4, was on the Czech NII, which was down 10% I think quarter-on-quarter. And, we’ve seen actually more positive stance from some of your competitors on Czech NII. So, I was wondering what if you could explain us what happened there actually on the -- I understand that rates have been cut, but why this activity is so large? And just finally on Basel IV, so you mentioned 14.6%. What will be your Basel IV pro forma on the standalone basis, assuming zero value on Russia? Thank you.
Johann Strobl: Thank you for your questions. I’m not fully sure if I fully got the first question, which is, how much higher is it --
Benoit Petrarque: Well, if you do not pay your dividend from Russia, in theory you the equity value of Russia is higher without the STRABAG dividend?
Johann Strobl: Yes, look, I think the idea of this STRABAG dividend was that I mean, you have to it’s a dividend in kind, so whatever value you give to the STRABAG shares. So, it’s some exercise. The basic assumption is that, I think the value, the value from for a tick consolidation. So, let me start, I think the first challenge is what is the multiple for the Russian business at all? Then, I think in most of the discussions, given the very good income of the Russian banks and especially of Raiffeisen, one could say, yes, you start at least with a price book multiple of one and then you have the standard mechanism and the best is 0.5 of that value, and then there is an exit fee in addition to that. So, if the capital base is higher in this simple formula, so without the STRABAG deal, then of course the price for the shares to be bought then will of course be higher. But as I said, in my thinking, the multiple would not change given the framework of the Russian regime, how to leave the country. To the second impact on deconsolidation by the ECB letter, yes, the deconsolidation mainly depends on the approvals what we have, what we need in Russia. And, yes, I think this letter is new. We haven’t seen so much reactions from the Russian authorities which is also clear. They, of course, will see and we will then see their reaction on the reduction plan. They might have their own views and then we will see if they find it rather supportive for a deconsolidation or encouraging for deconsolidation or it will even delay that. So, very difficult to with the little information what we have now to give more in detail. Then your question was, how is the NII developing in Czechia? I think, you are aware of the rate cuts what we have seen. And, one element which I would just repeat but not go into detail is that the Czech koruna depreciation, as we now speak in euro terms, had quarter-on-quarter also an impact, which might explain maybe one-third. When we talk about impact then usually we start the discussion with what is the sensitivity of the checkbook on the 100 basis points. But, modeling the delay in repricing is something which is a key challenge always. And, I think this is what we have to be aware that currently there is quite a high competition in Czechia. And of course, in the sensitivity one has to assume that current accounts have little or no sensitivity. So, they are at very low rates or at zero. So, every key rate cut goes directly in. Of course, there are some portfolios, model books, which compensate partly for that. But, that’s the main reason. And, yes, I think when you compare with peers then it’s a combination of all the three topics. What’s the liability origination? How different are the model books? And also, yes, let’s say the bigger guys might have a little more time to adjust rates or than the smaller ones. Now to the fee income, here I would simply say, the drop in Q1 was compared to last quarter was expected, but still we are comfortable to confirm the guidance what we have, which is this EUR1.8 million. And, then the question is, if Hannes wants to take over your CET1 ex-Russia Basel IV?
Hannes Mosenbacher: Well, we have to be mindful here because if we look at our most recent internal impact indication, we would believe that we could maybe see a relief of roundabout EUR3 billion of RWA. But, also please keep in mind that you have to consider data sourcing and that there is an ongoing interpretation of all the different technical standards ongoing. So, therefore, we have to see a continuous refinement over the year and during this year. To hint, maybe the most important factors, they’re coming largely from the credit risk. And, here the large driver is the updated IRB, but also some credit conversion factors. Thank you for your question.
Benoit Petrarque: Thank you very much.
Operator: Next question is by Matt Nimetz from UBS. Please go ahead.
Matt Nimetz : Hi. This is Matt Nimetz here from UBS. A couple of questions from my side please. The first one is on Russia. Could you perhaps say a couple of words on the process with regards to the Russian exit or sale or deconsolidation? Is it fair to assume that you’re working closely taking into account opinions of European and perhaps overseas authorities with regards to the exit process? And then, once we perhaps see a potential announcement from your side, the certainty around that could be perhaps somewhat higher. That’s the first question. The second question would be on NII, the NII outlook. Could you give us a bit more detail on why the NII outlook is unchanged? It seems like you are now expecting lower rates in the Eurozone, Czechia and maybe higher in Hungary? Volume growth is cut. It’s slower now. So, on the back of this perhaps would have expected some tweaks to the NII outlook. And the last question would be on risk costs. The Stage 3 provisions that you booked in the first quarter, could you perhaps mention which sector that was related to any further color on the character of these that would be super helpful? Thank you.
Johann Strobl: Thank you very much. Yes, indeed when talking about the potential sales process, the approach we have chosen is, we go to a very clear state with the potential buyer and then would ask the potential buyer to check his offer with the Russian authorities, what is probably in any transaction in any country, the case that first the buyer checks if he gets the approval, then there is the understanding that we get an opportunity to get the confirmation that this is the case and then we would sign. To the European authorities and the U. S, and U.K, we always have the understanding that it has to be a non-sanctioned potential buyer with whom we’re dealing and this is checked with all the means what we have, but also then indicated to the authorities. So, that we do not have then surprised by whatever it is. Is such a process 100% waterproof? One does not know, but we do everything what we can do before we sign. Then still there is a risk of getting all the approvals, the quicker the better. When talking about an NII outlook, we’re talking about unchanged and then, yes, I think the rate forecasts what we have built in last time, and therefore little changes were driven and the drivers are that especially in Hungary, in Ukraine, in Czechia, there are big changes, and then I think I mentioned it already that also in Austria that the Porsche Perkasie has from time-to-time. So, once a year they do the update on the deposits as they have floating rate deposits linked to 12 month interest rates, and this is why it then comes with a delay, if we compare last year with this year. And, yes, in Austria one has to consider, like in some other banks as well that we have competition around the customer deposits and we see also some increased impact. And, when we look at our capital market fundings, now you see the MREL requirements and whatever we have. So, this is adding to these numbers. And the Stage 3 is for, Hannes.
Hannes Mosenbacher: Thank you, Johann. Matt, if you look at the Stage 3 in this first quarter, which industry you may find that’s the way I understood your question. The one is still real estate, you would have the one other default still in Q1 out of RBI AG and the other one is an LBO. And, I think this is what I tried to flag when saying, well, some of the companies are still being challenged by the soft demand and higher interest rate levels. These were exactly the two industries I had on top of my mind. So, real estate and LBO have been the main drivers for the inflow in the Q1 when talking about RBI ex-Russia and Belarus. Thank you.
Operator: And our next question is going to come from Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Good afternoon to, everybody, and thanks for taking my question. Another couple, if I may, again on Russia. Let’s assume that by magic, you managed to put the business here on off, so the loan book goes to zero. But, then you would be left with deposit there in Russia. Correct me, if I’m wrong. And, then those deposits should be put somewhere, I would imagine, cash into the Central Bank in Russia or something like that. Would that be a problem? You see what I mean? You can bring the lending to zero, but I’m not sure what you can do with the deposit base you have there. I don’t know if you can bring both the deposits. And then, even if you do it, you have thousands of employees in Russia. So, the other question is, whatever is asked out of Frankfurt, is there a risk that whatever is asked by ECB or whoever is problematic when you have to execute this in Russia? So, the two things clash together because I would imagine you have to comply with the law also, with the law in Russia. And, I don’t know whether those, the two things do not go together making the task even more complicated, maybe the equation impossible to solve. I don’t know, it’s just my curiosity. Thanks.
Johann Strobl: Yes. Thank you for your question. I mean, currently what we also explained in our talk statement, it’s not reaching till the run-off of the total loan book, but as we indicated, if we have to fully implement it in the maximum way, then it will further reduce our loan book significantly. And, of course, there then are accounts, money on the accounts, some on deposits and this will be placed by the Russian Central Bank. I mean, this will increase our RWAs and I would guess it would be negative, so if in a simple calculation I would assume that overall the RWA requirement for central bank liquidity is higher than on the loan book. Of course, the RWA requirement as long as the loans run-off is reduced there, but it will more than overcompensate it. But as you see, the ratio in the bank is very good and also the benefit in the Group is very good, and it would not change, it would change a little bit the overall the Group CET1 ratio, but as anyhow the CET1 ratio without Russia is the core one, it would not have an impact. At some point in time this will have an impact on the structure of the bank, of course, but this we will see the earnings potential of the bank currently just if you look at the huge capital base what they have and the key rates of the central bank, I mean this is very big and this is where quite a lot of the money is coming from. And of course, with reducing the central bank rates, this will of course go down, but that’s, I think it’s not a problem. This part is not a problem. I’m clear the question is, if you go longer in that direction, would you later on find a buyer at all? For sure not one who is interested in running the bank, if you have to stop running the bank still, I would say, the requirements for how to leave are always very favorable for Russian buyers. So, here it’s, I think it’s more complex as you indicated with your second question, how to be compliant with Russian law. I think the measures which have been introduced so far are in compliance with Russian law and for the Russian bank being compliant with Russian law is the most important is key. So, there is no discussion about that. Yes, but on the other hand, what will be the perception in the market of Raiffeisen doing no business at all, so the perception in the market will change and we will see which new problems will be created by this change in perception. Thank you.
Riccardo Rovere: Thanks.
Operator: And, our next question comes from Johannes Thormann from HSBC. Please go ahead.
Johannes Thormann: Good afternoon, everybody. Johannes Thormann, HSBC. Some follow-up questions. First of all, on NII, could you elaborate a bit more on the weakness in Czech market? I thought your market share in term deposits is higher than in current accounts and this could have been the driver. But, listening to you, you say it’s actually the current account. So, correct me if I’m wrong, but I would expect that the competition has first of all impact on term deposits. And secondly, in terms of your Austrian business, the corporate deposits have always been moving in line with ECB rates. And, then you are even in the zero or negative interest environment able to sometimes charge negative rates. And, you don’t have any retail deposits in offshore. How does this impact the deposit business impact your NII generation? Thank you. That’s the first part. And the second part is on the risk side. First of all, we saw very little risk cost in the bank excluding Russia, Belarus in the first quarter. Why didn’t you change the guidance now? What is your main concern for this? And, you increased your management buffer to EUR777 million. So, is there any plan for releases this year or do you think you need to have everything until end of year or even until end of next year? And, probably if you sell your Russian business, what would happen to the EUR332 million risk overlays from that business? Would they just be gone? Would they be deducted by? Please explain on the accounting? Thank you.
Johann Strobl: Thank you very much for your question. With reference, and we’re now talking just to get it right, the Czech, for the outlook or for the Q1 development?
Johannes Thormann: Q1, please.
Johann Strobl: Q1, so give me a moment. The Q1 in Czechia was driven by, I don’t have now the absolute amount of current accounts not in mind, but the sensitivity of this current account is around EUR8 million or so, if you take 100% rate shock, let’s try to do it via this. And, then you would have the savings that count where I lose another EUR10 million and because of the delayed adjustment of the pricing and therefore the margin drop and then you would have also the current accounts of the corporates which would add another EUR7 million or so. So, this is quite significantly and if you then think about the then I think, it’s the core of it is explained and partially this will be only protected by the model books, whereas the Euro part in the Czechia is relatively small compared to that, so that might be a quarter of that or a little bit less. And, I think if we look at the in detail now, so I think a big part has been the FX development. So, if we say we have in total a EUR17 million change then one would say, yes, we have lost around EUR7 million on overall book, so of course we lose it on the revenue and on the income and then the liabilities we gained a little bit of course, so in total EUR17 million volume had been slightly positive and what I explained mainly, so the rate part of it with EUR14 million was the biggest driver. So, you have in totally fair repeat, we lose EUR7 million from the FX part, we gain around EUR5 million from the volume, but we lose around EUR14 million on the interest adjustments where we lose significantly more on the assets than what we could adjust on the liabilities. And, I hope I have done it right. So, this should add up to EUR17 million, which was the change in Czechia. And I think the third one, what happens to the overlays in Russia in case of sale, they remain in Russia and is to the benefit of the new owner as well and there is guidance comes from Hannes.
Hannes Mosenbacher: Well, on the risk of guidance, and since you also asked about the overlays, let me again split them up. So, we have the number of EUR777 million of overlays in total available to RBI Group. Some EUR332 million are being allocated to Russia and Belarus. Russia only EUR300, EUR79 million are being allocated to Ukraine and without the Eastern European segment we would have then overlays available to RBI Group ex-Eastern Europe of EUR366 million. And then again, out of this EUR366 million we have now allocated and created overlays in the amount of EUR118 million for commercial real estate. So, I think at the moment, we would we are just happy with the level of overlays built for RBI Group. Johann was already answering what happens with the overlays being allocated to Russia. Maybe just to add one word here, with every repayment and you have seen it that this number allocated to the Russian overlays have been higher in previous quarter with every repayment we see here in release. Coming back to your risk cost guidance question in general. As I said as, I know and of course I accept that risk costs, and I’m happy about this, that risk costs have been lower in the first four months with five basis points only. At the same time, as said, when talking to some of the clients, some are still challenged by this lower demand. We still see that industry is being challenged by low BMI’s order books and many other things. And for me, it would be just too early in the year in the beginning of May, already to adjust down the risk cost guidance. And I learned also my lesson last year, where we have seen three quarters, which have been very constructive, and then in Q4, we have seen a very pronounced uptick. So, this would be the reason why I would still be mindful. And, we have also seen some commercial real estate investors, and please keep this in mind, who have been taking or have done the financing on a fixed rate basis, but now, of course, also some of this fixed rate based financing are maturing and needs to be rolled over. So, that is the reason for us not yet at this moment to adjust our risk cost guidance for the full-year. Please give us at least time until the Q2 call, and then we will reflect on this accordingly. Thank you.
Johannes Thormann: Thank you. Understood.
Operator: And, our next question is going to come from Ibrahim Saeed from JPMorgan. Please go ahead.
Ibrahim Saeed: Hi, there. Thanks a lot for taking my call. If you could just remind us please that how much of Raiffeisen Russia’s transactions are cross-border and what’s the extent of access that the Russian unit has to RBI’s global, let’s say, network as far as payments are concerned? And then, just as a second question, assuming you aren’t able to kind of wind-down fast enough to address deadlines, etcetera, what’s ultimately an exit scenario where RBI, the Group, can legally absolve itself of the entity where you are in or able to wind-down timely enough or sell it? I mean, could you essentially hand over the keys to the employees or the central bank? Like what would that potentially look like? Thank you.
Johann Strobl: Yes. To your first question, the Russian business is to the largest extent is in Russia itself. Very small amounts are as you see the land book is very small where they have supported before the war started some international projects by customers. But, what they do is they place quite a lot of money of their excess liquidity also internationally of course, given the various currencies what they have. And, to your second question, yes, and to the payments network of RBI, yes, we quite a lot of international payments are channeled via RBI, but there are also some other banks with which are transacting with Raiffeisenbank Russia directly. To your other question walking away in Russia, I think you always need an approval of the authorities and this remains, I think, I assume when you take, when you assume walking away then anyhow it’s without any compensation. So then, it’s even more on the in the hand of the central bank as the authority whom they would choose. So, here it’s clear, you do not choose on your own and they have they might have many ideas how to do it, but I don’t know and I do not want to speculate.
Ibrahim Saeed: Right. And, just going back to question one, have the regulators or the U.S. authorities, the ECB, anyone distinguish between whether it’s the loan book they care about or this payment systems or transactions happening internationally and that they would like to put a stop? What’s the primary concern because your loan book has come down massively already?
Johann Strobl: Yes, this is an ECB topic, not the topic of other authorities. And, yes, I think it’s that the ECB has announced not so long ago that they will ask European banks to speed up the reduction of their business and I think it’s a combination of their need or will to force banks to even accelerate anyhow high speed what we have achieved so far and being aware what is possible within the Russian legal environment and what is not possible.
Ibrahim Saeed: Okay. Thank you very much.
Operator: As there are no further questions at this time, I’ll turn the call back over to Mr. Johann Strobl, for additional comments and closing remarks. I do apologize. I do just have someone enter the queue. Do you want to go ahead and take that question?
Johann Strobl: Yes, I think there is operator, sorry, you couldn’t see that. There are also there was one question in the chat, which I think Hannes will take over. Thank you for being patient.
Hannes Mosenbacher: Thank you, Johann. Well, there was one question related in the chat. Can you develop on commercial real estate if you saw an increase in commercial real estate risk in Austria? I think what is important when we’re talking about Stage 3, of course, this goes with our historic underwritten part of the portfolio. If I’m talking about overlays, this is just being aware of saying, well, that could be the one or the refinancing risk and so and so forth. That’s the reason why on the existing portfolio we have done those two things, Stage 3, and also providing some overlays. Of course, and it’s very important for me to say it here, we would still do financing of commercial real estate also in Austria, but of course, we have adjusted our underwriting criteria accordingly also to match the current market environment and circumstances. Hopefully, this gives a little bit of a flavor on how we think about commercial real estate. Thank you for your question. Johann?
Johann Strobl: Thank you, Hannes. And, I want to thank all of you who participated in this call. Thank you for your questions. I wish you a good afternoon. Thank you. Bye.
Operator: And, we will now conclude today’s conference call. Thank you for your participation. You may now disconnect.